Operator: Greetings, and welcome to the Digimarc Corporation First Quarter 2023 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. At this time, it is my pleasure to turn the call over to Joel Meyer. Sir, the floor is yours.
Joel Meyer: Thank you, Karen. Welcome to our Q1 conference call. Riley McCormack, our CEO; and Charles Beck, our CFO, are with me on the call. On the call today, we will provide a business update and discuss Q1 2023 financial results. This will be followed by a question-and-answer forum. We have posted our prepared remarks in the Investor Relations section of our website and will archive this webcast there. Before we begin, let me remind everyone that today's discussion contains forward-looking statements that have risks and uncertainties. Please refer to our press release for more information on the specific risk factors that could cause actual results to differ materially. Riley will now provide a business update.
Riley McCormack: Thank you, Joe, and hello, everyone. Our goal is to digitize the world's products. To accomplish this, we must be easy to begin doing business with and excellently guiding customers along their Digimarc journey. These simple truths drive everything that we do. We have 2 distinct ways of going to market. On the direct sales side, by building a growing number of our own accretive products upon our world-leading product digitization engine, the Digimarc Illuminate Platform. We are not only ensuring a customer is able to solve the problem that brought them to us today, but also providing them a frictionless path to solve the problems they want to solve tomorrow. Moreover, because our products are accretive, which means that the stand-alone value they provide is increased by the adoption of additional Digimarc products, this frictionless path forward not just solve new problems, it compounds returns for all products existing and new. On the channel sales side, by licensing the Digimarc Illuminate Platform to a growing number of value-added resellers or VARs, we not only gained quickly scalable and high-margin revenue as our VARs go-to-market with our own products and services built upon our world-leading product digitization platform. We also increased the amount of items that are digitized using our technology. This creates an ever-increasing number of upsell and cross-sell opportunities for both us and our VARs. You might recognize these words as they are verbatim from our last earnings call. These words describe where we are going and how we are going to get there and thus are worth repeating, especially as I appreciate that we are a much different company than we were just a short while ago. Last quarter, after providing this preamble, I spent the rest of the call discussing a few of our products. This quarter, I want to spend time discussing our platform because both technologically and commercially, our Digimarc Illuminate Platform is quite literally foundational to everything we do. As mentioned earlier, each of our products is built upon our Digimarc Illuminate Platform. This allows each of them to benefit from the unique and powerful capabilities that comprise our best-in-class product digitization platform and also allows them to add accretive value to each other. These 2 facts are key contributors to our extremely wide moats and thus, it is our platform that ultimately powers our product success. Moving to our Q1 results, while simply a 1-quarter snapshot, the majority of both our new logos and our upsells were Digimarc Illuminate customers, including 1 VAR that signed a 6-figure deal. This VAR is a large company and a category leader, and we are excited they have begun their Digimarc journey. We are already in discussions with them about licensing additional capacity as they educate their end customers on the value of product digitization. Q1 also saw us sign another new VAR who came to us in response to one of their competitors having a product that is powered by the Digimarc Illuminate Platform and their realization they need our product digitization hyperscaler to compete. And then, of course, there's the Digimarc Illuminate deal we announced today, a $32 million, 5-year contract to protect the authenticity of precious metals, critical building materials, and a national deposit return system or DRS for recycling. There are 5 things about this deal I want to highlight. First, of course, is the size of the deal, both in terms of revenue and duration. Charles will give a bit more detail about this contract in a minute, but this deal provides our newest VAR the ability to use the Digimarc Illuminate Platform as a key component in 3 of its products, each of which is targeted at 1 of the 3 end markets I just mentioned. Due to our customers' confidence in our platform and their confidence in their ability to build wonderful products on top of our platform. They signed a 5-year license for each of their products, rollout of which will occur in a staggered fashion for the rest of this calendar year. Second, there is upside to this contract beyond the $32 million. This upside comes from 2 different areas, an increase in the amount of capacity needed for any of these 3 products or an increase in the amount of capacity needed because of the launch of additional products. One such additional product is far enough along to be scoped within the contract and if it were to proceed, provide meaningful upside to the headline dollar amount. We believe there are likely to be other product opportunities even beyond this fourth product, a view shared by our valued customer. At the risk of understatement, we are excited to partner with them as they continue their Digimarc journey. Third, 2 of the products covered by this deal, the one protecting the authenticity of precious metals and the one protecting the authenticity of critical building materials, represents the first use of our platform in the security printing market. The security printing market is a greenfield opportunity for us in the commercial side of our business and one where our moat is not just the unique capabilities of our platform, but the credibility, reputation and expertise we have earned while working with the world's Central Banks for these last 24 years. We don't talk a lot about our team working with the Central Banks because we can't talk a lot about that team for the amazing work they do. But across all of our commercial activities and especially as we enter the world of security printing, this team's history of absolute excellence provides us a moat as deep and as wide as any other we enjoy. Fourth, the third product covered by this deal, the one guarding the integrity of a national deposit return system represents our entry into an important and exciting new market adjacency. Our ability to help power a more circular world doesn't begin and end with Digimarc Recycle. Our entry into the quickly growing DRS market has 3 important implications; It provides synergistic benefits to Digimarc Recycle and vice versa, it increases the TAM of our overall opportunity in recycling, and it allows us to make an even more profound impact on our planet. Fifth, the 3 products being powered by Digimarc Illuminate aligned perfectly with our purpose. We highlight a product's journey to provide trusted intelligence and promote prosperous, precious metals, safer, critical building materials and more sustainable DRS world. Our greatest strength always has been, is and always will be our people. For a lot of our team, it is their belief and our purpose that drives them to excel. On a personal note, I find it pretty darn cool this single deal covers all 3. I will now turn the call over to Charles to discuss our financial results.
Charles Beck : Thank you, Riley, and hello, everyone. Before I dive into our Q1 financial results, I want to provide some more details on the financial impact of the large new revenue contract Riley mentioned. As a reminder, the annual minimum contract value is $6 million per year with a contract term for the 3 products each spanning 5 years. The contract provides additional payments from the customer if they require more capacity on our Digimarc Illuminate Platform. The first-year commercial booking will be $5.1 million in the second quarter as the contract was signed in April. The contract provides the customer the ability to use our platform for each of its 3 products, each with different start dates and payment dates. As a result, $900,000 of the initial $6 million annual fee is payable after the 12-month anniversary of the contract effective date. These fees are noncancelable but given the timing of when the payments are due, they do not meet the definition of first year bookings. It's important to note the remaining $900,000 will not be reported as a first year booking in subsequent quarters due to the way we calculate and report this metric. The fact that we are signing more and more multiyear committed deals has been reducing the value of our reported first year bookings number as the out years of multiyear deals never show up in a reported booking number, whereas a renewal would. This is a wonderful trend for our business that we are heavily pursuing, but it comes at a cost of understanding our underlying growth to all of you. We are evaluating additional metrics to share in the future that will better capture our true underlying growth rate. Now on to our Q1 financial results. There are 4 important trends I want to highlight before digging deeper. During the first quarter, we generated 21% subscription revenue growth on our current products. We realized 80% subscription gross profit margins, and we significantly reduced our recurring operating expenses. As a result, we saw a significant reduction in the level of cash usage, which we expect to continue to improve through the year. First year commercial bookings were $2.3 million during the first quarter compared to $3.8 million in Q1 last year. Bookings in Q1 last year included $900,000 for HolyGrail project work related to Phase 2, which is now complete and $300,000 related to our former Piracy Intelligence product. Excluding these 2 one-off items, first year commercial bookings would have been $2.6 million in Q1 last year. The timing of contract renewals also impacted the trend in bookings year-over-year as we had two 6-figure contracts that renewed in early Q2 this year instead of Q1, both with sizable upsells. Total revenue for the quarter was $7.8 million, an increase of $400,000 or 6% from $7.4 million in Q1 last year. Excluding revenue from our former Piracy Intelligence product, revenue increased $1 million or 15% year-over-year. Subscription revenue, which accounted for 50% of total revenue for the quarter grew 2% from $3.8 million to $3.9 million. Adjusting for the sunsetting of our Piracy Intelligence product I just mentioned, subscription revenue actually increased $700,000 or 21%. As a reminder, Piracy Intelligence revenue in the second quarter of 2022 was $300,000, but after that, it essentially went to 0. So this headwind to reported year-over-year growth rates will go away in the second half of 2023. Service revenue grew 9% from $3.6 million to $4 million. The increase is due to a larger annual budget from the Central Banks for project work in 2023 than 2022, which includes both higher billing rates and project dollars. We expect service revenue from the Central Banks to grow over 10% this year from last year. Subscription gross profit margin improved from 73% in Q1 last year to 80% in Q1 this year. The large increase year-over-year reflects two positive trends. First, a favorable mix of subscription revenue to our newer products, which carry higher gross profit margins than our legacy products. Second, as we foreshadowed on the last earnings call, our product infrastructure costs are declining, even with increased usage by customers on our platform. We expect these trends to continue, resulting in further expansion to our subscription gross profit margins. On the last earnings call, I stated we expected to drive our subscription gross profit margins to north of 80% in 2023. After the first quarter, we are nearly there with room for continued margin expansion. This is an important development to note given our focus on growing subscription revenue. Service gross profit margin improved from 49% in Q1 last year to 57% in Q1 this year. The increase reflects lower professional services costs this quarter. as we have streamlined our operations function since the acquisition in January last year. We anticipate service gross profit margin to remain in the mid-50s on average going forward with some fluctuation quarter-to-quarter depending on labor mix. Operating expenses for the quarter were $19 million compared to $21.4 million in Q1 last year. Included in the $19 million of operating expenses was a onetime cash severance costs of $1.5 million and $600,000 of stock compensation costs as a result of our previously announced restructuring plan this past February. Excluding these onetime costs, operating expenses would have been $16.9 million representing a 21% decline from Q1 last year. As you will recall, Q1 last year included costs related to the EVRYTHNG acquisition and integration as well as higher headcount-related costs than as compared to today. Non-GAAP operating expenses for the quarter were $15.5 million compared to $17 million in Q1 last year. Included in the $15.5 million was onetime cash severance costs of $1.5 million as a result of the February restructuring plan. Excluding the onetime costs, non-GAAP operating expenses would have been $14 million, representing an 18% decline from Q1 last year. As a reminder, the restructuring of our business, which has now been completed, will result in approximately $8 million of annual expense savings with $7.4 million of those savings being cash-related costs. We continue to be focused on ways to further reduce our non-headcount-related costs and drive greater efficiency across the organization. We are working to streamline our processes and leverage new technologies to provide for greater scale without having to make material new investments in headcount. Net loss per common share for the quarter was $0.70 versus $1.03 in Q1 last year. Non-GAAP net loss per share, which excludes noncash and nonrecurring items, was $0.45 versus $0.69 in Q1 last year. We ended the quarter with $43 million in cash and investments. We used $9.5 million of cash investments during the quarter compared to $16.7 million in Q1 last year. Included though, in the $9.5 million is $1.5 million of onetime cash severance costs. Excluding the onetime costs, cash usage would have been $8 million, a considerable reduction in the trend of cash usage from last year. We anticipate that cash usage will continue to decline in 2023 as we continue to grow our revenue reduce our product infrastructure costs and focus on continued operating efficiencies. For further discussion of our financial results and risks and prospects for our business, please see our Form 10-Q that will be filed with the SEC. I will now turn the call back over to Riley for final remarks.
Riley McCormack: Thanks, Charles. In thinking how I wanted to end this call, I realized that how I ended the last call also still rings true word for word. This consistency and message is made possible by an incredible team all rowing in the same direction, aligned in their focus on changing the world. I also realize that by dedicating today's prepared remarks to talk about our platform, it is possible, one might question what's going on with our products, similar to it being possible, but leaving the last call the inverse concern could have been true and recent events would have quickly proven unfounded. I am just going to end this call like I began it, reiterating what I said just a few months ago with added emphasis on one key area, I perhaps didn't emphasize enough last time. 2022 saw us set the foundation for the years ahead and we are excited to continue to build upon that foundation in 2023 and beyond. We are seeing momentum across all areas of our business and are hard at work continuing to increase that momentum as we create a market that is unique -- that we are uniquely positioned to lead for years to come. A market that at scale has the opportunity to be as large, if not larger, than the other legs of the digital transformation tool. There are trillions of items produced each year and our goal is to sell multiple Digimarc products into each of them, adding exponentially accretive value as we digitize the world's products. Karen, we will now open up the call for questions.
Operator: [Operator Instructions] And we'll take our first question from Jeff Van Rhee from Craig-Hallum.
Jeff Van Rhee: Several, obviously, a lot going on here. Maybe Riley, just to start with the use cases. I mean, you hit them pretty quickly, but go a little deeper. What are you doing in each of these 3 cases? Because there in some ways, similar but in more ways that are not similar. Just talk a little deeper about what exactly you're doing in each of those use cases.
Riley McCormack: Yes, sure. And I will to the extent we can, obviously, when it comes to authentication and product authentication. Customers don't really like us talking too much about it. But on the precious metals and the critical building materials, we are -- the customer is using Illuminate to protect the packaging of those items. And then on the DRS, it's similar. It's using Illuminate to digitize items products that would be part of a DRS system.
Jeff Van Rhee: Is this -- when you say protect packaging, are you talking about serialization, so each individual package is individually identified or just authenticity, generally speaking.
Riley McCormack: I really don't want to go into exactly what they're doing. There's a lot of wonderful capabilities in Illuminate that any of our VARs could take advantage of to build their own products. again, so if you're familiar with all of the capabilities in Illuminate, they have access to Illuminate and they're building their own products using those capabilities.
Jeff Van Rhee: Yes. Yes, that's some of the challenges. It's very diverse in terms of what it does, but I appreciate the privacy requirements. Charles, in terms of the contract itself, forgive me, but maybe you could revisit the rev rec, is this going to be ratable? And then I was unclear. You said a little bit about the bookings and the recognition of the bookings, but I'm curious on the cash collection and the revenue recognition.
Charles Beck: Yes. So we're working through the revenue recognition right now. I would suspect that it's going to generally be ratable there are 3 different products, though, that start at different points in time. So you're not just going to be able to take the $6 million and ratably take it from there because each of the projects -- products are phased and that's the same with the cash. And that's why $900,000 of the cash falls outside of the first 12 months of the contract and therefore, doesn't meet our definition of a first year booking...
Jeff Van Rhee: Okay. So $900,000 in case. I expect so $5.1 million of the cash comes in year 1?
Charles Beck: Correct. And then revenue will ramp as those products come online.
Jeff Van Rhee: Okay. And the time lines -- I mean, obviously, we've got to build the model. Can you give us some sense of timing on when these 3 are going to layer in? How do we approach that?
Charles Beck: Well, the majority of it is being paid in the first year. So it's -- all of the products are starting within 1 year.
Jeff Van Rhee: Okay. Al right. And...
Charles Beck: Or less than 1 year.
Jeff Van Rhee: Yes. Okay. Got it. And then, obviously, you're not naming the VAR, but these are pretty diverse use cases. I mean, I don't know, just like how many other VARs are there similar to this? This is, I don't know, a unique customer. I'm trying to understand exactly what their practice is.
Riley McCormack: Anybody who has -- who creates -- touches the product packaging ecosystem, Jeff, is a potential VAR for us. So there's a ton of VARs out there that we haven't even begun to talk to yet.
Jeff Van Rhee: Okay. Okay. And just to be clear, the $6 million roughly a year is...
Riley McCormack: And that something you might want to follow up. I mean think about – yes, there are trillions and trillions of items produced every year. Each of those are produced with a broad ecosystem, right? So there’s just a ton. I’ll leave it at that.
Operator: [Operator Instructions] And we'll take our next question from Robin Knipp from Janney Montgomery.
Robin Knipp: Great quarter. Are you able to share with us any more insight as to which country this national deposit return system for recycling is referring to?
Riley McCormack: No, we've shared what we can share, unfortunately.
Robin Knipp: Okay. So got to get on a plane and travel the world with my Digimarc staff. Okay. Thanks. Once again, great quarter.
Operator: And we'll take our next question from Matt Collard from PCB Advisory.
Matt Collard: Riley. Charles. Great quarter. Congratulations. Could you -- Riley, could you talk for a little bit with the maturing of these VAR relationships. You started signing them last year and you're continuing to sign them. And obviously, it sounds from the tone of the call, the activity continues to spike. So in these VAR discussions, how is there enthusiasm? Or how is there interest in the Illuminate or the products that Digimarc offers changing? And I guess I'm interested in where I'm going with this is it seems like a lot of these deals have minimum contracts, and then I don't -- you mentioned service addressable markets on top of that. I'm just trying to see how -- what their enthusiasm or how their enthusiasm is growing.
Riley McCormack: Yes, it's growing. I mean it's -- if you think about our most likely VAR candidates and some of them are publicly known, right? These are people in the packaging space that what we have currently in Illuminate, what we're building in Illuminate, it's a full-time job, right? And so the ability to have a hyperscaler. I think I used the word hyperscaler during the prepared remarks on purpose. I think people -- most people think of hyperscalers as an AWS as of your -- as CPU and memory hyperscalers. We're a product digitization hyperscaler. For people who don't have the capacity or the interest or for whatever reason, where they don't want to invest in the platform to build their own platform for product digitization but produce packaging, produce products and realize this is a trend. We're a great outsourced partner of theirs. They can license our platform just like anybody can license AWS or Azure or GCP and build their own products and services on top of it. So it's scenario of great excitement, and it's a mutually beneficial win, win, win. Actually for us, for the VAR and for the end customers. I talked a little bit, Matt, in the last call I think actually, you and I discussed it in the Q&A on the last call, but it's pretty exciting.
Matt Collard: Great. And I guess to build on that, it seems like the enthusiasm from the VARs is we looked at historically, obviously, we've got this HolyGrail effort kind of looming, if you will, and as shareholders were all looking towards the endgame where there'll be some legislative support for recycling and for extended producer responsibilities and all that. But it doesn't seem like all the VARs are coming to you with much different propositions, much different challenges that need solutions versus thinking ahead towards that end game?
Riley McCormack: Yes. So Digimarc Recycle is a product we’ve built on our platform. So again, just taking a quick step back, right? Digimarc Illuminate Platform contains all of our capabilities, right? Everything we can do. We either license their platform to the VARs to build their own product services or that’s what we use internally to build our own – our products and services. So Digimarc Recycle is a product that we build. That is something that we’ll be offering directly to the world’s brands and retailers. So – they’re different and I talked a little bit in the last call, right? Where our VARs license our platform, they’re not reselling our products. We sell our products direct to the world’s brands and retailers.
Operator: [Operator Instructions] And we'll take our next question from [Harvey Mordka].
Unidentified Analyst: Based on our low share price right now in the large moat that we have and the extensive patent library? Is there anybody taking a look at us as far as an acquisition?
Riley McCormack: Harvey, I think every time you're on the call, you asked the same question. The answer is no.
Unidentified Analyst: Nobody is looking yet. Okay.
Operator: And we'll take another question from Jeff Van Rhee from Craig-Hallum.
Jeff Van Rhee: You commented on the restructuring and the reduced cash burn expectations. Can you put some numbers around that? How should we think about the remainder of the year in terms of cash burn?
Charles Beck: Yes, Jeff, I mean, we don't give exact guidance what I can do is kind of broad strokes, right? So we've got growing revenue, we've got margin expansion and we've got about $8 million lower run rate in OpEx. Those are the different...
Jeff Van Rhee: Okay. And then Riley, you commented on the VARs, you can sell product or you can sell platform. This is a platform to the VAR to build applications. What's the -- to the extent they have to go build something yet, what does that look like?
Riley McCormack: It depends on each relationship, right? It's -- I think Jeff, maybe the best way to picture is just picture what AWS and Azure and GCP offer people, right? It's outsourced, it's a hyperscaler for compute and for memory. And some people build really, really intricate products and services on top of those and some people build very little. So it really depends on the VAR and the products that they want to build.
Jeff Van Rhee: Okay. And then -- from a margin standpoint, I think I know the answer, but if you're selling this to the VAR and you're not providing any of the service, then this is just a pure licensing deal. There's no other. So this should be almost pure gross margin?
Riley McCormack: Yes. I mean there’s obviously costs. So the way we meter out that access to our platform is – well, we meter out our access, right? So we have cost of goods sold of the platform. But you’re right. The nice thing about the VAR, there’s a lot of wonderful things about the VAR channel as a go-to-market channel. But among them is quick ability to ramp, right? These are VARs are – they’re building something internally and then a lot of times, they have hundreds and hundreds of customers that they’re going to roll it out to, but it’s also extremely high margin.
Operator: And we'll take our next question from [Kevin Hanrahan] from KMH.
Unidentified Analyst: Charles, I had a question about the NOL. I know you did your 10-K recently. If you have that number, could you update us? And if you don't have it, could you give me that number offline?
Charles Beck: Yes, I don’t have the number memorize so – also you know.
Operator: [Operator Instructions] And there appear to be no further questions at this time. I'll turn the floor back to Mr. McCormack for closing remarks.
Riley McCormack: Well, thank you, Karen, and thank you, everybody. Hope you have a great rest of your day. Take care.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time, and have a great day.